Operator: Thank you for standing by. My name is Tina, and I will be your conference operator today. At this time, I would like to welcome everyone to the NPK International Third Quarter 2025 Earnings Call. [Operator Instructions]. Thank you. It is now my pleasure to turn today's call over to Gregg Piontek. You may begin.
Greggg Piontek: Thank you, operator. I'd like to welcome everyone to the NPK International Third Quarter 2025 Conference Call. Joining me today is Matthew Lanigan, our President and Chief Executive Officer. Before handing over to Matthew, I'd like to highlight that today's discussion contains forward-looking statements regarding future business and financial expectations. Actual results may differ significantly from those projected in today's forward-looking statements due to various risks and uncertainties, including the risks described in our periodic reports filed with the SEC. Except as required by law, we undertake no obligation to update our forward-looking statements. Our comments on today's call may also contain certain non-GAAP financial measures. Additional details and reconciliations to the most directly comparable GAAP financial measures are included in our quarterly earnings release, which can be found on our corporate website. There will be a replay of today's call, and it will be available by webcast within the Investor Relations section of our website at npki.com. Please note that the information disclosed on today's call is current as of October 31, 2025. At the conclusion of our prepared remarks, we will open the line for questions. And with that, I'd like to turn the call over to our President and CEO, Matthew Lanigan.
Matthew Lanigan: Thanks, Gregg, and welcome to everyone joining us on today's call. We are very encouraged by our third quarter performance that continued to showcase the robust outlook for our served markets and our ability and agility in responding to our customers' needs. The quarter produced very strong year-over-year growth that reflects the strengthening demand for our products and services. We also saw modest quarter-over-quarter growth, a result of our purposeful focus on maximizing our rental asset utilization during a traditionally slower seasonal quarter. Our total third quarter revenues of $69 million is very pleasing given Q3 has traditionally seen a more meaningful pullback in utility activities during the warmer summer months. On a year-over-year basis, our total revenues improved 56%, while rental and service revenues improved 37%. Focusing on our rental and service activity, which we believe represents the stickiest and highest long-term driver of returns, we recently achieved our highest rental fleet utilization on record as we responded to multiple short notice project extensions and expansions. As we have mentioned in the past, we are proud of our fleet scale and our operational flexibility to be able to meet these changing customer demands. However, the combination of short notice, accelerated start times and high utilization does lead to certain transportation inefficiencies as matting inventory is relocated. While we expect some level of this inefficiency due to changing customer demands, the timing and extent experienced late in the third quarter led to approximately $1 million of elevated costs that negatively impacted our gross margins in Q3. We anticipate some carryover impact of these elevated costs in early Q4. However, we believe they will be recovered over the project term, allowing us to maintain our typical gross margins over the longer term. Product sales activity also remained robust, generating $25 million of revenue, reflecting continued strength in demand from multiple utility customers. Given the continued demand and robust outlook across our served markets, we maintain our commitment to the expansion of our rental fleet, investing a net $12 million in the third quarter and increasing our full year fleet investment by $10 million to meet the anticipated demand growth as we approach 2026. I also wanted to highlight that with the strengthening market outlook underpinned by continued upward revisions in forecasted utility transmission spend as well as a strengthening midstream and general infrastructure outlook, we accelerated our manufacturing capacity expansion planning efforts during the quarter. We expect these efforts to continue into early 2026 before moving on to procurement and construction activities. We are also making progress with our previously mentioned debottlenecking activities at our plant, which are being executed in parallel with the manufacturing capacity expansion planning. Notably, we recently completed process modification, achieving roughly 5% increase in production levels, which further supports our growth plans and operational efficiency objectives. Finally, I wanted to touch on cash flow generation and capital allocation during the quarter. We are once again very pleased with the strong cash generation in the third quarter with cash provided by operating activities of $25 million and free cash flow of $13 million. During the quarter, we used $3.4 million to repurchase more than 400,000 shares at an average price of $8.45, while also building our cash balance by $10 million. And with that, I'll turn the call over to Gregg for his prepared remarks.
Greggg Piontek: Thanks, Matthew. I'll begin with a more detailed discussion of our third quarter and year-to-date results, then provide an update on our outlook and capital allocation priorities for the remainder of 2025. As Matthew touched on, third quarter revenues came in above our expectations, benefiting from our strategic focus on maintaining strong rental utilization through the seasonally slower summer months, along with several late quarter large-scale mobilizations and robust product sale demand. Total rental and service revenues were $44 million for the third quarter, with rental revenues down 7% sequentially through the seasonally slower Q3, but improving 57% year-over-year, while associated service revenues were flat sequentially and improved 9% year-over-year. Revenues from product sales also remained robust at $25 million for the third quarter, up 12% sequentially and more than doubling the third quarter of last year. For the first 9 months of 2025, rental and service revenues have increased 29% year-over-year, while revenues from product sales increased 21%, both primarily driven by significant demand growth in the power transmission sector. Turning to gross profit. The third quarter result was impacted by roughly $1.7 million of costs in the quarter, related to the late quarter transportation costs required to meet customer project time lines, along with manufacturing planning projects and other charges. Gross margin was 31.9% in the third quarter, down from 36.9% in the second quarter and up from 27.5% in the third quarter of last year. Third quarter SG&A expenses totaled $13.3 million, a decrease of $400,000 sequentially and a $2.3 million increase compared to the prior year. The third quarter was again impacted by elevated costs associated with performance-based incentives, including long-term incentive programs linked to the company's share price as well as those tied to 2025 revenues, profitability and other performance targets. The third quarter SG&A also included roughly $500,000 of project costs associated with strategic planning efforts and our ongoing ERP implementation. Income tax expense was $3 million in the third quarter, reflecting an effective tax rate of 33% as our year-to-date effective tax rate increased modestly to 28%. Adjusted EPS from continuing operations was $0.07 per diluted share in the third quarter compared to $0.11 in the second quarter and breakeven in the third quarter of last year. Turning to cash flows. Operating activities generated $25 million of cash in the third quarter, including $16 million from net income adjusted for noncash expenses and $9 million of cash provided by a net decrease in working capital. Net CapEx used $12 million, which includes $10 million of net investment in fleet expansion. Additionally, as Matthew touched on, we used $3.4 million to purchase 402,000 shares under our repurchase program, reflecting an average purchase price of $8.45 per share. Looking at year-to-date cash flows for the first 9 months of 2025, we've generated a total of $55 million of cash from operating activities, along with $14 million of additional proceeds from the fluids divestiture using $31 million to fund net capital expenditures and expanding our mat rental fleet by approximately 13% from the end of 2024, while also using $20 million to repurchase 3 million shares at an average purchase price of $6.70 per share reducing our outstanding share count by nearly 4% from the end of 2024. We ended the quarter with total cash of $36 million and total debt of $10 million for a net cash position of $26 million. Additionally, we have $144 million of availability under our bank facility. Now turning to our business outlook. As disclosed in yesterday's press release, considering the continued strength in rental project activity and robust product sale demand, particularly within the utility sector, we have increased our full year 2025 expectations with total anticipated revenues now in the $268 million to $272 million range and adjusted EBITDA of $71 million to $74 million. The midpoint of our 2025 range reflects 24% revenue growth and 32% adjusted EBITDA growth over 2024. Breaking our full year revenue expectation down further, we expect total rental and service revenues to grow by a mid-20s percentage and product sales to grow by a high teens percentage range relative to 2024 levels. With the current strong demand and outlook carrying into 2026, we're increasing our full year net CapEx expectation for 2025 to $45 million to $50 million with over $40 million invested into the rental fleet. As for the near-term outlook, we expect to see Q4 rental revenue set a new quarterly record, surpassing the level achieved in Q2. On the product sales side, we expect Q4 revenues to pull back from the exceptionally strong third quarter, likely in the upper teens range. Q4 gross margin is expected to return to the mid-30s range, which includes some continued transitory impacts of the elevated transportation and cross rerent activity. In terms of SG&A, we expect Q4 incentive-related expenses will remain elevated in light of our share price performance and projected full year results against 2025 performance targets. Additionally, we expect Q4 SG&A will also be impacted by costs from the ongoing strategic planning and ERP implementation projects, which will likely keep SG&A around the Q3 level in the fourth quarter. Our goal of mid-teens SG&A percentage of revenue following the completion of our ERP implementation in early 2026 remains unchanged. Though it's worth noting that we expect 2026 SG&A will continue to carry elevated incentive costs associated with the company's 2025 share price performance. In terms of taxes, we expect our effective tax rate to remain in the upper 20s range. Though with the benefit of existing NOLs and other tax carryforwards, along with accelerated deductions under the recent OB3 legislation, we expect our cash tax obligations will remain limited for the next several years. In terms of our capital allocation strategy, we continue to prioritize investments in the growth of our rental fleet and expect to continue returning a portion of free cash flow generation to shareholders through our share repurchase program. And with that, I'd like to turn the call back over to Matthew for his concluding remarks.
Matthew Lanigan: Thanks, Gregg. As discussed previously, our strategy for 2025 remains focused on 3 foundational elements to drive long-term shareholder value creation through scale enhancement, operating efficiency and return of capital optimization. Our primary focus remains on achieving consistent revenue growth through the scale-up of our high-return rental business, which includes a combination of geographic expansion and market share growth within our currently served U.S. and U.K. markets. Over the course of 2025, we have focused heavily on our commercial front-end scale-up to drive our geographic expansion, and we remain very pleased with the team's continued strong execution. Our quoted volume is growing meaningfully year-over-year, while our award rate remains in line with historical levels, resulting in a 40% year-over-year growth in rental revenue for the first 9 months of 2025. To support this growth, we remain committed to expanding our mat rental fleet, which grew by approximately 13% in 2024 and by an additional 13% in the first 9 months of 2025 as we continue to build on our leading position within the rental market. As I touched on in my opening remarks, in light of what we see as a strengthening multiyear capital cycle for our utility customers and the sustained market conversion from timber to composite, we have also kicked off manufacturing expansion planning. Our second focus area is on driving organizational efficiencies across every aspect of our business. During the quarter, we began the rollout of a new ERP system, a process that will continue into early 2026 as we look to further streamline our overhead structure and achieve our targeted SG&A as a percent of revenue in the mid-teens by early 2026. And our final priority is the allocation of capital beyond our organic requirements. With a strong balance sheet and a disciplined approach, we remain committed to our programmatic share repurchase program while also actively evaluating several core strategic inorganic opportunities that increase our market coverage, value and relevance to customers in key critical infrastructure markets. As we close out the final quarter of 2025 and sharpen our focus on 2026, I'm exceptionally proud of our team's execution and how we have positioned the company. Now a full year removed from our disposition of the fluids business, we have a world-class team, meaningful growing scale and manufacturing capacity and a strong balance sheet to support our capital allocation priorities. We expect to deliver over 20% revenue growth and 30% adjusted EBITDA growth in 2025. And with the building blocks in place and a robust outlook in our key served markets, I believe we are positioned to continue to deliver double-digit growth in 2026 and beyond. In closing, I want to thank our shareholders for their ongoing support, our employees for their dedication to the business, including their commitment to safety and compliance and our customers for their ongoing partnerships. And with that, we'll open the call for questions.
Operator: [Operator Instructions]. Our first question comes from the line of Aaron Spychalla with Craig-Hallum.
Aaron Spychalla: First for me, you're obviously increasing expansion in the rental fleet and a lot of your customers are increasing CapEx plans. You're starting to get incrementally better project visibility from some of these longer duration projects. Can you just talk about how the overall pipeline has been growing year-over-year or just some kind of figures as you kind of look towards 2026?
Matthew Lanigan: Yes. Thanks, Aaron. I'll take that one. Look, if you look at the rate of growth that we have kind of commented on a year-over-year basis, it's fair to assume that the pipeline growth is in line with that, maybe a little outstripping that. What we are seeing is with these longer duration projects, we're getting a little bit longer to look at those. So we are seeing some elongation of the time to award as part of that. So kind of encouraging on both fronts, pipeline building in that kind of range that I quoted there and then longer duration visibility that you mentioned earlier in your question. So I think all of that is shaping up well into '26.
Aaron Spychalla: Got you. And then on the capacity expansion plans, I mean, accelerating the efforts there. Can you just give some more detail on what this might add from a percentage standpoint and any details on kind of cost potential and timing?
Matthew Lanigan: Yes, it's a little early for us on that one. We've ticked off the planning. I mean it's -- we will continue to work through it, but I would expect that we would be putting something in line with about half of our existing capacity in that range is what we would be looking at, at this point. And then we're really working hard on the cost, Aaron. It's a pretty wide range. So I'm nervous about getting anyone fixated on a given figure. The outside cost that we're looking to bring down would be what we spent on our last plant expansion. We continue to think we can do better than that. So we feel like it will be south of that figure.
Operator: Our next question comes from the line of Laura Maher with B. Riley Securities.
Laura Maher: My first question, how are you thinking about industrial distributors in your competitive landscape? Are they contributing to additional competition? Or are they primarily a source of sales for you right now?
Matthew Lanigan: Yes. I would say that we're kind of -- they don't play a big part in our business at all really, Lauren. Most of everything we do is direct to the end customer rather than intermediated. I mean, at the margin, there are the occasional time, particularly international sales, not that they've played a big part in this year. But at this point, we're not really seeing it as a meaningful influence on our strategy.
Greggg Piontek: Yes. I think one of the things to highlight here is, yes, on the product sales side, that's one of the major changes that we saw over the past year. As we had talked about in 2024, a lot of our product sales went to operators that had fleets. This year, the sales are much more concentrated with end user utility companies, which is really the preferred end customer that we're looking to build the relationships with.
Laura Maher: Okay. And then maybe just one more. Is the fleet expansion CapEx tracking proportionately with revenue growth?
Greggg Piontek: It's -- over the long term, it should. This year, it's short -- there's a couple of things to that. Number one is we have really improved the level of utilization. So we're basically getting more revenue generation from our existing fleet. And then obviously, you also have a gap here that we're filling currently with cross rents. And that has the margin compression impact, and that's in part why we're accelerating investments into the fleet to help drive that cost reduction and get a better margin on that.
Operator: Next question comes from the line of Gerry Sweeney with ROTH Capital.
Gerard Sweeney: Sticking top line, you called out transmission and distribution and midstream being strong. But curious how much of growth is industry growth? And how is that coming into play as well as the opportunity to continue to expand maybe geographically as well as maybe with additional customers?
Matthew Lanigan: Yes. Good question, Gerry. I mean, we are seeing some increased traction in the areas that we did kind of see with our commercial. During the quarter, I think the Mid-Atlantic, and we've called out the Midwest a few times. We did see meaningful quarter-on-quarter growth in those areas. Again, when you're coming from a smaller base there, those numbers aren't as material as some of our historical basis, but we're very encouraged with the progress we're making there. So I would say our commercial efforts to grow our -- the breadth of our distribution geographically is paying off. And then this quarter, you could definitely see we called out large projects, extensions, et cetera. They were more in our established territories. So that I would put more as an industry growth. So I feel there's a nice blend of both, probably industry-leading over the geography at this point on an absolute basis.
Greggg Piontek: Yes. I think -- and that also plays into that the whole material conversion, the composite to wood. I think that it is important to note that we don't see that mix changing dramatically this year because everyone is just keeping up with the industry growth as we the rest of the year.
Gerard Sweeney: Yes. Then separately, on the margins, I think you obviously called out the transportation side. But you also made the comment that you may pick that margin back up. I wasn't sure if the margins will return to, we'll say, the mid-30s or whatever the exact number is, just as they're getting settled on a go-forward basis or there's an ability to maybe make up some of that lost margin. I'm not sure if that was pricing or other opportunities.
Greggg Piontek: I think this kind of goes back to our commentary that we've made in the past of the business we need to look at over the course of the year and mid-30s, maintaining mid-30s as we grow is our expectations. But within that, you're going to see some exceptionally strong quarters, such as what we saw in Q1, where it was 39%, and we said that's when everything is hitting mass or down high utilization, all that. And then you have the quarters such as this where it's obviously the seasonally slower, so that builds in some inefficiencies. And then just the timing of projects, we talked about as we hit the higher utilization levels, we found ourselves having some elevated transportation. That's -- we don't expect that to continue. There's some level of that noise always in there, but that's why we expect Q4 to be back in that typical mid-30s range.
Gerard Sweeney: Okay. I'm going to squeeze in one quick one. I know you said 2. But just on that front, logistics, transportation, et cetera, was this more of a strategic move to get in with more clients, keep bigger clients happy and you saw longer rental times with some of these projects or juxtaposed to maybe at some point in the future, you can build in some better pricing and stuff to manage some of these shorter-term projects? Quickly accelerating projects, I guess.
Matthew Lanigan: Yes -- late. Yes. This was wholly and solely around a key strategic customer that had some needs very late in the quarter that we felt compelled to respond to and we'll continue to do so for this customer, Gerry. So on the long term, that relationship is a very healthy one, one that continues to return well for both of us. So we'll continue to protect that. I think what we're doing on the margin recovery, it goes to the capacity expansion. It goes to kind of helping coordinate better across our network to make sure that we can stage our inventory a little closer. To be honest, in this case, some of the matting we thought we were going to be able to help them with didn't come off other projects. So that's why we're in a scramble when we planned, it all looked good on paper. And then as projects got extended and we couldn't get that inventory off the ground, that's why we had to go to kind of plan B here. So it wasn't our intention to always kind of compress margins this way. It just happened to be the case. And so we'll continue to kind of look at our logistics efficiency and manage it going forward.
Operator: Your next question comes from the line of Min Cho with Texas Capital.
Min Cho: Congratulations on a strong quarter here. So a couple of questions. So in terms of your raising CapEx, I know that you're talking about -- you're planning for some new manufacturing capacity. Is that more in terms of adding lines at existing manufacturing locations? Or are you actually looking to expand your location as well?
Matthew Lanigan: Yes. Min, I'd say we're not kind of settled on that one yet. Part of the planning that we're doing is to look at what the right answer there is. There's obviously a lot of pull towards the [indiscernible] facility based on the space we have at the site and the investment we already have there. But I'd say we're not settled on that one yet as we continue to look at optionality.
Min Cho: Okay. And then obviously, just given these plans, should we assume that directionally CapEx for 2026 will be higher than 2025?
Greggg Piontek: Tough to say that. I think we'll talk more about our 2026 expectation in the next call. Obviously, we stepped up the CapEx here in the current year, which will now get us upper teens growth in the fleet. I think our '26 expectation is going to be a function of how we see the year shaping up as we get closer to it. But I think it is important to highlight that's one of the important pieces of this business is we can adjust our CapEx in the fleet based on the demand that we see in the marketplace.
Min Cho: All right. And then just finally, I know you don't talk about your U.K. business a lot, but what percentage of revenue was U.K.? And can you just talk about the growth dynamics you're seeing there?
Greggg Piontek: So yes, the U.K. business, I mean, as you look at it on the rental and service side, it's a high single-digit percentage contributor to the overall portfolio, so the smaller pieces. But a lot of the same dynamics as what we see in the U.S. They have a lot of infrastructure projects, a lot of plans here in the coming years that's going to require an increase in spend and also an increasing recognition in the marketplace of the differentiation of the composite mats over the alternative products.
Operator: Your final question comes from the line of Bill Dezellem with Tieton Capital.
William Dezellem: Well, let's start with the name. It's Bill Dezellem. And I have a couple of questions as you probably would guess here that the utilities, would you talk to us about their mindset towards rentals versus purchases today with this accelerated demand versus how they may have been thinking in the past, if there's any difference at all?
Matthew Lanigan: Yes, Bill, there's no one answer across the utilities here. I think, generally speaking, utilities have shown us that they have an appetite to purchase some portion of their fleet requirements. Again, we talk to the economic incentives they have internally to spend capital and get a return of and a return on, on that. So we see that trend continuing. I think what we're seeing is with the scale of what they're needing to achieve here over the next few years, they're also recognizing that they need strong rental partners to help them, strong rental and service partners to help them through with that workload. So we're seeing them lean on both sides. It's been like that. I mean I think coming out of COVID, we saw them pull back on sales a little bit as they were looking to spend their capital on things that the supply chain was saying were perhaps more strained. So they wanted to secure those items to make sure they had what they needed for their projects. I think as supply chains are opening up a little bit, they're looking more broadly at their potential capital categories and matting is certainly one that we've seen this year, they're bouncing back towards. So I hope that answers your question, Bill.
William Dezellem: That is helpful. And then relative to nonutility markets, are you seeing any new or other markets that are demonstrating meaningful potential? Or is the opportunity really centric on utilities?
Matthew Lanigan: Yes. I think we called it out. I mean midstream has been very dormant for many years. Previous administrations, I think, were very much curtailing activity in that market space. We're seeing a lot more activity there. Again, the majority of that activity is met with a different matting technology that we don't have in our fleet for the mainstreaming operations there, but definitely around laydown areas and egress and so on, we have a role to play. So generally speaking, the stronger that industry, the more opportunity we will have there. And so -- but when you really think about it, the majority of the spend and focus will be around the electrical utility transmission spend over the next few years, the way we see just the relative contributions.
Greggg Piontek: Yes. And when you look at the year-to-date numbers year-over-year, the growth on the RNS side, it really is coming from the utility sector. As Matthew touched on, midstream is strengthening, but it's coming off of a pretty small base. And really, when you take a step back, that's offsetting really the -- what has been a modest pullback on the upstream side of things. So overall, oil and gas there is kind of flat year-on-year.
William Dezellem: That's helpful. And since then the last question, I'm going to keep going here a little more, if I may. The M&A, you referenced that your eyes are wide open. Would you provide kind of some strategic insights in terms of what you are looking to accomplish with the M&A?
Matthew Lanigan: Yes. I think we've covered this on previous calls, Bill. Our focus now is really on close core, what we do today and then just looking to see how we can accelerate our penetration of markets where we believe that we could play a bigger role. So I think you can expect that to be where we're spending our time.
William Dezellem: Nothing has changed there.
Matthew Lanigan: Correct.
William Dezellem: And then one additional question, please. So as you -- I think this is the second quarter this year that you have had some inefficiencies tied to customers changing project scope, time line, et cetera. Does that imply that ultimately, you want your inventories to be higher and to give you more flexibility to respond to these situations? And then if the answer is yes, do you even have the capacity with the level of activity in the market to increase your inventories enough to solve the riddle that we're talking about here?
Matthew Lanigan: Yes. I think I'd say the answer is yes, Bill. Obviously, the higher our utilization gets, you're more responsive to moving things further than you would ideally like to. And that's what happened to us in Q3 here. So the CapEx that we're spending on our fleet, the planning we're doing on manufacturing expansion is all designed to help manage that challenge and get the margins back into the business. When it comes to capacity, if we look at '25, we ran -- we started running the plants 24/7 in April. So year-on-year, we're going to have incremental capacity going into '26. We talked about our debottlenecking activities, which give us incremental capacity. We've always got the cross-rent flex that we've been working. So we feel comfortable that we're able to meet our growth requirements and get better at our planning efficiency. But honestly, Bill, it's during a quarter, projects you planned on coming up to speed new projects. If that doesn't happen exactly the way it was planned, you're always going to have a level of inefficiency. And I would say when you're running at the high utilizations we are, that's a heightened challenge for you. So -- but we feel like we can manage it.
William Dezellem: Good luck with the ongoing high-class problems.
Operator: And with no further questions in queue, I will now hand the call back to management for closing remarks.
Greggg Piontek: Great. Thanks for joining us on the call today. Should you have any questions or requests, please e-mail us at investors@npki.com, and we look forward to hosting you again on our next quarterly call. Thanks.
Operator: Thank you again for joining us today. This does conclude today's presentation. You may now disconnect.